Romeo Lacher: Good morning, ladies and gentlemen. Welcome to today's Investor and Media Conference. I trust you can see our presentation over the screens. [Operator Instructions]. As you have seen from today's media release, we have several topics to discuss among them are our results for the full year 2023. And as usual, our CFO, Evie Kostakis will guide you through the financials. But first, I would like to touch on the leadership change, what we have announced today. And for that, I would like to give the word to Philipp Rickenbacher, our departing CEO.
Philipp Rickenbacher: Thank you, Romeo. Good morning, ladies and gentlemen. By now, you will have read our announcement that I'm stepping down as CEO of Julius Baer. I have offered the Board of Directors to make my position available, and we jointly concluded that it is in the best interest of the company for me to step down. This was not a step I took lightly because my connection and passion for Julius Baer, our clients and our teams run very deep. Yet as the CEO, I reflect on my personal responsibility for this great firm. My career at Julius Baer has spanned 20 years through great and through challenging times. My professional growth was defined by a culture of taking ownership, learning from the past and thereby strengthening the organization. This is exactly what we are doing today, and I am contributing to this by supporting all the measures taken, including this leadership change. With the other measures announced today, such as reflecting the full extent of the extraordinary credit event in our 2023 results and the exit from private debt, we draw a clear line and pave the way to move forward and regain the full confidence of our stakeholders in '24 and beyond. It has been an honor for me to serve as CEO of this formidable institution and shape its strategic course over the past 5 years. What we have achieved was only possible with the trust of our clients, the terrific work of our staff, the backing of our shareholders and the support of our stakeholders in Switzerland and the many other financial centers around the world we are active in. I am immensely grateful for that. Thanks also to all of you attending our call today for your confidence in Julius Baer. This team under the new leadership of Nic Dreckmann, will continue to deliver on your expectations I am convinced. With this, I would like to end my remarks and hand back to Romeo.
Romeo Lacher: Thank you, Philipp. It was important for me to give you the opportunity to address this leadership change in person. My heartfelt thank you and greatest respect also on behalf of the entire Board of Directors for endorsing the measures we announced today and supporting a change in leadership in agreement with the Board. I would like to thank you also for your leadership over the past 5 years. You have navigated Julius Baer through a challenging time charting a successful course that is tangible in the many transformational steps that have brought us where we are today. Under your tenure as CEO, the group produced the two best financial results in its history, further strengthening its leading market position in wealth management across the globe. With the appointment of Nic as an interim CEO, we are putting the leadership of our firm into the hands of one of our most senior executives. Nic has an in-depth knowledge of all parts of our business from the back and across many market cycles. With this step, we are also ensuring utmost continuity for all our stakeholders, and I would like to thank him for accepting this challenge. Thank you, Philipp, for being here today. Ladies and gentlemen, we are now moving to the next section of our presentation, where Evie and I will present our results, and then the two of us will answer your questions. Our results for 2023 were overshadowed substantial loan loss allowances of CHF 586 million for our largest private debt exposure. These loan loss allowances covered the single largest exposure in its entirety. As already disclosed in November 2023, this exposure comprises three loans to different entities within a European conglomerate. With these highly conservative provisions, we eliminate all uncertainty over potential further impact on Julius Baer's financials going forward. In regard to this largest exposure, our full focus is now on realizing and maximizing the recovery value on individual positions. Given this is an ongoing process, we will not provide additional detail on the individual credit positions or comments on the collaterals. The remainder of the private debt book lending against non-listed securities or cash flows amounts to less than 2% of our total loan book. Over the past 2 months, we have mandated an independent third party for an in-depth review of the full private debt book. I can state with confidence that the remaining book is well diversified and performing. Evie will provide the details on the quality of the private debt book in her presentation. Still, as announced today, we have decided to exit private debt in its entirety. We entered into private debt as a conscious expansion of our historically very successful credit business. It was a step we took in response to client demand. In hindsight, it is clear that the evolution of the private debt business outpaced the adjustment of its framework. We and I personally deeply regret that a single credit event led to the significant provision booked in 2023. I want to apologize to our shareholders, our clients and to our employees. While there have been no breaches of internal or external rules and regulations related to this position, we mischarge the risk related to this particular exposure. With this, we have not lived up to our commitment of acting as good stewards of our firm. It is therefore in line with this commitment to stability and predictability for our stakeholders that we have taken the decision to fully exit this business. This decision will entail a closely management and controlled wind-down of the portfolio. The exit from private debt means that going forward, we will refocus our credit activities into areas of traditional strength. Lombard lending, and our largely Swiss mortgage offering. These two areas together make up more than 98% of our loan book already today. Historically, this business has been very successful with a ratio of net credit losses consistently below 20 basis points in any year prior to 2023 and across different market cycles. This isolated credit event is all the more painful because in 2023, our business has been doing well, generating good profitability and net new assets. It is thanks to the strength of our business that we have been able to absorb the resulting negative financial impact and maintain our commitment to capital distribution towards our shareholders. The Board and executive management take full responsibility for what happened. In addition to the change in executive leadership, we discussed before, the Chair of the Board Risk Committee, David Nicol will not stand for reelection at the upcoming AGM. And as a consequence of the credit event and of its impact on our performance in 2023, the compensation committee of the Board decided that the members of the ExB involved in the credit decision as well as the CEO will not receive any variable compensation for 2023. The members of the government and the Risk Committee of the Board of Directors will not receive any equity-based compensation. This also includes myself. As part of our efforts to maintain a strong risk culture and in line with our overarching objective to use our balance sheet with the utmost prudence for the benefits of our clients, the Board of Directors will reinforce its oversight of the risk management framework. Specifically, we will take this opportunity to strengthen our credit framework with a new composition of the credit approval body at Executive Board level. Revised credit policies and approval process as well as the definition of more granular limit framework including appropriate total counterparty exposure limits. All these steps have been discussed with our Swiss regulator, FINMA. I would like to thank our employees for the underlying strength of our results. It is thanks to their tremendous efforts that we can close the year in such strong shape. Excluding the loan loss allowances discussed before, we generated the third highest underlying profit before tax in Julius Baer's history. Underlying profit before taxes was CHF 1.12 billion. Solid net new money inflows throughout the year demonstrate the strength of our franchise. They amounted to a total of CHF 12.5 billion or CHF 16.2 billion once the effect of deleveraging is excluded. It is important to note that meaningful inflows took place in the last 2 months of the year. Overall, assets under management increased to CHF 427 billion, obviously, heavily impacted by the strength of the Swiss franc which nearly entirely offset the positive effect of market performance and leaves ample room for upside in 2024. In 2023, we also increased our hiring efforts with a net addition of 95 relationship managers backed by our strong reputation as employer of choice for wealth management talents. These investments in growth transpire into a cost income ratio, an effect that was combined by stable revenues in a challenging market environment. We maintained a strong capital position and the liquid balance sheet. Our CET1 capital ratio increased to 14.6%, remaining well in excess of both regulatory requirements and own floors. And this even when taking into account the increase in loan loss allowances mentioned before. At CHF 2.60 per share, the dividend is unchanged from the previous year, reflecting our commitment to maintain continuity in our capital distribution policy and this was very important to us. These are just the key points to illustrate the ongoing operating and financial strength of our group. I will now hand over to Evie to give you all the details.
Evangelia Kostakis: Thank you very much, Romeo. I would also like to extend my personal thank you to Philipp Rickenbacher for his courageous leadership and 20 years of service to this company. Good morning, everyone. As usual, I'll start with a quick overview of the market developments that were directly relevant for the underlying performance of our business. First, looking at the securities markets and foreign exchange. Stock markets were generally up, interrupted only by brief wobbles in March and in September, October, but there was a huge divergence between markets. For example, while the NASDAQ was up 43%, the Hang Seng Index was down 14%. But even that outperformance of the U.S. markets was in turn driven largely by a small number of stocks with a so-called Magnificent 7 responsible for 2/3 of the gains in the S&P 500. Another key development was the further strengthening of the Swiss franc, our reporting currency against all key currencies. Of particular relevance to our results is the U.S. dollar, which weakened by 9% to a multiyear low of just CHF 0.84. Interest rates rose further in 2023, with the Federal Reserve raising by 100 basis points, the ECB adding another 200 basis points and the Swiss National Bank another 75 basis points. However, the consensus is that these interest rates have peaked and the Fed has already given some indications that rates are likely to get cut this year. The third set of graphs shows that the yield curves -- the key yield curves came down in the second half after having moved up in the first half. However, the yield curve inversion did not improve yet. And in fact, it worsened in the case of the euro rate curve. This is one of the reasons we believe that client deleveraging has continued, albeit at a slower pace than last year, as we will see later in the net new money analysis. Finally, market volatility has fallen to even lower levels in H2, which is relevant for the trading component within income from financial instruments, as we will also see later. Moving on to Slide 8, which shows assets under management, up 1% to CHF 427 billion. Here, one sees clearly how the benefit of stronger markets was effectively undone by the stronger Swiss franc. On top of that, there was an CHF 11 billion combined impact from divestments and a policy related net reclassification of AUM to assets under custody. And just in case, please note, these adjustments were entirely unrelated to the private debt case. They were largely technical adjustments. So excluding that impact, AUM would have gone up by CHF 14 billion or 3% essentially all coming from net new money. Monthly average AUM, important for the margin calculations, came down by 2%. Proceeding to the net new money slide, on Page 9. Net new money improved by 43% to CHF 12.5 billion or in percent of AUM terms from below a 2% growth pace to almost 3% annualized pace. As was the case in the previous year, flows were meaningfully impacted by client deleveraging and the yield curve inversion that I referenced earlier is certainly a factor here as is the higher absolute level of interest rates. Without this deleveraging impact, net inflows increased by 23% and to CHF 16.2 billion or close to 4% of starting AUM. While we had good contributions from various regions, Switzerland and the rest of Europe really stood out in 2023. The RMs, we welcomed onto our platform in 2023, went off to a good start contributing around CHF 3 billion to net inflows, with a large majority of the new hire business cases hitting their interim milestones so far. And in terms of RM hiring on Slide 10, we were successful in attracting 95 net new relationship managers to our platform in 2023, thereby building on the shift to net RM growth that had started in earnest in the second half of 2022. After the successful increase in cost efficiency achieved in the 2020-2022 strategic cycle had created scope to fund growth investments in the current cycle. On a gross basis, we added around 190 new RMs in 2023, and we kept a clear focus on hiring RMs for our defined core markets. In 2023, these amounted to around 90% of new hires. And clearly, this hiring momentum should by itself be supportive for our net new money generation over the medium term. While we continue to invest in growth, and we're successful in attracting high-quality RMs to our platform, we also continued on our path to further focus our core wealth management business. In that context, it was pleasing to be able to announce that we were able to find a new corporate home for our Italian asset and wealth management business, Kairos, with AUM of around CHF 4.5 billion. The sale of Kairos to Anima for approximately EUR 20 million to EUR 25 million is expected to close in the spring of '24. And as we already communicated back in November, this transaction is not expected to have a material impact on our profit or capital ratios. So now let's move on to revenues on Slide 12. Since the introduction of IFRS 9 in 2018, in our accounts, we show net credit losses as negative operating income or positive in the case of recoveries, obviously. So on that IFRS basis, given that we have now very prudently built specific loss allowances of CHF 586 million against our single largest private debt exposure, operating income was down 16% to CHF 3.2 billion. However, as we have now drawn a thick line under this private debt case, I will comment on the revenue developments on an underlying basis, i.e., without the impact of the CHF 586 million amount. On that underlying basis, the revenue development was essentially stable at over CHF 3.8 billion, with just a CHF 28 million or 0.7 percentage point difference versus 2022. What we saw was essentially that the net benefit of higher rates coming through in net interest income and treasury swap income was balanced by the impact of the stronger Swiss franc as we have substantial revenues that are denominated in other currencies especially the U.S. dollar. And by the impact of lower volatility and reduced client activity on the trading component with net income from financial instruments, especially in the second half of the year when the VIX was very subdued. NII was up 2% or CHF 19 million as the benefit of a more than doubling of gross interest income was largely offset by a more than quadrupling of interest expense, with clients continuing to reallocate cash from current accounts into call and time deposits. Net commission and fee income was down 2% or CHF 32 million, basically in line with the decline on average AUM, and it was pleasing to see an uptick in the recurring fee gross margin in the second half of the year. Net income from financial instruments at fair value through profit and loss was up just 1% or CHF 7 million as a significant increase in treasury swap income, driven by the increased rate differentials was balanced by the sharp drop in activity-driven income following the drop in volatility and associated client activity. Turning to Slide 13. The gross margin analysis shows the key moving parts even more clearly. On an underlying basis, the gross margin rose by 1-basis-point to 88 basis points with a first glance, no year-on-year change in the contribution from the different revenue lines, at least not in the way they are shown in the customary IFRS reporting split. However, in the bubbles below the main graph on the left, we have again stacked the components in a way that links them more clearly to their underlying drivers. So by combining NII with treasury swap income or what we like to call quasi NII, one clearly sees a substantial pickup to 33 basis points in the contribution from total interest-driven income. Unfortunately, when we combine the activity-driven components within commission and fee income and within income from financial instruments, then we see that their contribution drops to 18 basis points. In other words, the gains from higher interest-driven income were largely eaten up by lower activity-driven revenues. Meanwhile, recurring income taken from the commission fee line was stable at 36 basis points and as you can see in the appendix on Page 38, in H2, it actually improved to 37 basis points, which is important as we are targeting to get this number up to at least 39 to 40 basis points by 2025. A quick update on rate sensitivity on Slide 14. As we saw on the previous slide, the interest-driven gross margin increased to 33 basis points in 2023. However, that was the average of 36 basis points in H1 and 30 basis points in H2, and that decline in H2 was clearly not what we expected back in July. We actually ended up the year below 30 basis points on a run rate basis, but that was impacted by a few items, including a one-off adjustment linked to the private debt exposure. From here, we expect to see a limited further terming out of deposits. And against that, we should, in any case, see rising benefits from the higher income earned on the treasury portfolio. We're not assuming any rate cuts until later in 2024. So based on the current balance sheet size and structure and in terms of current AUM levels, we would expect 30 basis points of interest driven income in our base case, with a bit more than half of that from NII and the balance from treasury swap income. On the left-hand side, we show the sensitivity on a model basis to larger rate cuts in the three key currencies. And you see that certainly for the first 100 basis points, it is currently rather limited. Again, under the assumption of no balance sheet changes. Important to note that we see limited to no further terming out of deposits from here. For the sake of completeness, we also show what our model suggests would happen with 100 basis points parallel shift upward. So we think this is by now rather unlikely. Now let's turn to operating expenses on Slide 15. After the successful reset in cost efficiency in the last strategic cycle, we shifted our aim in this new cycle to greater net investments in future growth, with a particular focus on attracting top talent in our key markets and on targeted investments in technology and innovation. In 2023, as we saw earlier, this resulted in a 95 net increase in relationship managers, but we also saw a further rise in IT spend in line with what we indicated we would do in the strategic cycle. Despite those investments in growth, operating expenses grew relatively little by 2% year-on-year to CHF 2.7 billion. Personnel costs rose by 1% to just over CHF 1.7 billion well below the 5% year-on-year growth in the average number of staff as performance-related remuneration fell. General expenses were unchanged at CHF 766 million, helped CHF 52 million decrease in provisions and losses. Excluding provisions and losses, general expenses went up by 8% to CHF 704 million. This latter increase was driven predominantly by a rise in IT-related expenses. Depreciation and amortization went up by 13% to CHF 232 million following the rise in capitalized IT-related investments in recent years. So as total expenses rose by 2%, while underlying operating income was essentially flat. The underlying cost-to-income ratio went up from 66% to 69%, which means we clearly have our work cut out for us also on the cost side in order to reach our 64% cost-to-income ratio target by 2025, which in turn is a useful set into the next slide. On Slide 16, you see that we have sharpened our cost savings target. As you may recall, when we presented our 2023, 2025 targets at the strategy update in May of '22, we announced approximately CHF 400 million in additional technology investments over those 3 years on top of our regular tech spend of CHF 200 million on a cash basis. Around 2/3 of those investments are capitalized and amortized over a longer period and around 1/3 normally goes directly through the P&L. We said at the time of the strategy update that we would aim to balance that P&L impact for additional gross cost savings elsewhere. We now upped that savings target from CHF 120 million to CHF 130 million on a run rate basis by end of 2025. Of the CHF 130 million target, we already achieved 1/3 of CHF 45 million on a run rate basis by the end of 2023, with about half of that benefiting the 2023 P&L on a gross basis or CHF 8 million on a net basis when taking CHF 15 million of restructuring costs into account. The bulk of the savings will be achieved this year with the aim to get to over 90% or CHF 120 million on a run rate basis by end of 2024, with a net '24 P&L benefit rising to CHF 65 million when accounting for a further CHF 20 million of restructuring costs this year. The further savings will derive from a mix of personnel expense optimizations and partly, but certainly not only through the synergies expected to come from the creation of the new client strategy and experience division as well as in general expenses through our IT application strategy, including decommissioning of various tools and through further real estate optimizations. And finally, from further internalization which will indeed drive a small shift from G to P but will net-net result in somewhat lower overall costs. Slide 17 summarizes the profit development. On an underlying basis, pretax profit came down by 7% to just over CHF 1.1 billion. And on that basis, it is still the third highest in our history. Pretax margin by 1-basis-point to 26 basis points. The tax rate went up by 3 percentage points to 15.5% driven by a larger share of profit from higher tax jurisdictions, resulting in a 10% decrease in underlying net profit to CHF 947 million and an underlying return on CET1 capital of 30%. Our tax guidance has changed slightly. With the OECD minimum tax rate starting to kick in, our current guidance for 2024 is for an adjusted tax rate between 16% and 17%, and potentially somewhat higher than 17% from next year onwards. Moving on to the balance sheet on Slide 18. Our balance sheet remains highly liquid, with 10% of assets in cash, a loan-to-deposit ratio of 62% and one the highest liquidity coverage ratios of any bank in Europe at 291%. It is important to bear in mind that a significant portion of our balance sheet is denominated in other currencies, especially dollars and euros. So the year-on-year weakening of those currencies against the Swiss franc, 9% for the dollar and 6% for the euro, obviously, had a big impact on how these balance sheet items developed in Swiss franc terms. For example, the loan book decreased by almost CHF 6 billion or 13% to CHF 39 billion. But on an FX-neutral basis, the decrease in loans was limited to CHF 3.5 billion or 8%. Of course, that is still a meaningful decline, which largely reflects the client deleveraging in the Lombard loan book of 16% or 11% in FX-neutral terms with the mortgage book remaining essentially stable. Clients' cash preferences continued to react to the rising rates environment, partly by reallocating cash from current accounts to more attractive alternatives including call and term deposits. As a result, deposits decreased on an FX-neutral basis by CHF 8 billion or 11%. However, on an FX neutral basis, in December, deposits actually stabilized. So maybe that is signaling a trend line break or perhaps even the start of a trend reversal. Within deposits, cash continued to shift from current accounts into term and call deposits, which now make up 63% overall due to customers' position, up from 56% at the end of June and from 43% at the end of 2022. The treasury portfolio grew to CHF 18 billion, of which 30% is now measured at amortized cost. In the earlier part of our presentation, we already spoke extensively about our decision to wind down the remaining private debt book in an orderly manner and that we are refocusing our lending activities back to the areas of historical strength, sticking to our knitting, so to speak, i.e., Lombard lending and mortgages. Those books are and have always been of high quality and that helps explain our strong historical credit track record, which has been solid across market cycles, including the great financial crisis in '08, '09, the sovereign debt crisis in 2010 and beyond, the Swiss franc decoupling from the euro in 2015 and more recently, the COVID-driven flash crash and the Russian invasion of Ukraine. The first graph on Slide 19 shows the development of our loan book since 2009. This is the year when the new Julius Baer Group was formed showing initially a strong increase in credit penetration, especially through a rise in Lombard lending, partly on the back of our strong growth in Asia at that time. And then for around 2013, the penetration was more stable between 11% and 12%, until deleveraging started to kick in from 2021, mainly driven by the abrupt rise in rates and the inversion of yield curves. The cost of risk has typically been very low on average 4 basis points until 2023. And even when we saw a small blip upwards in 2011, it was then followed by a net release in 2012. While the unfortunate development of largest exposure in the private debt book, obviously changed that picture dramatically in 2023. It was an isolated case. Excluding this case, the cost of risk at 5 basis points is essentially in line with the long-term historical average. On Slide 20, one sees on the left-hand side that the private debt book is small in the context of our overall loan book. The remaining book of CHF 0.8 billion represents just 2% of the total credit book. From an accounting point of view, it is reported under Lombard lending. The main difference to traditional Lombard lending is purely the type of collateral. In private debt, we have cash flows of companies as collateral and these are unsecured or collateralized with securities of unlisted companies. The remaining private debt book will now be wound down in an orderly fashion, and that process should be largely done by the end of 2026. I can assure you we have extensively reviewed the quality of our credit risks across the entire private debt book, also with the help of an independent third-party expert. Based on this review, we can confirm that the positions are diversified and performing. That diversification is clear from the table. First, it confirms that the remaining exposures are significantly smaller than the largest exposure. And second, they are spread over different unrelated sectors. The pie chart shows that 18% of the overall private debt exposure is in Switzerland and 64% in the rest of Western Europe. The higher risk of this business is mainly, as I said before, that you have cash flows of unlisted companies as collateral. This is also reflected in the fact that its risk density is 100%. So as we said, in terms of our credit offering, we are immediately going to refocus back exclusively on our mortgage and Lombard credit offering, where we have a long and solid track record. And as you can see on Slide 21, where the credits are well covered by high-quality collateral. Lombard lending is against marketable securities with the LTVs tailored to the quality and liquidity of that collateral so that as an example, a portfolio of U.S. treasuries will result in a higher LTV than a portfolio of stocks with lower daily trading volumes. Lombard loans are subject to daily LTV monitoring and the risk density is around 9%.  Our mortgage book is for 89% against residential properties with a smaller book of nonresidential properties in combination with the clients' assets under management with us. The collateral is in the form of high-quality real estate in prime locations and the book is, for almost 3 quarters, a Swiss mortgage book with a smaller book out of Monaco and the remainder mainly in prime residential locations in London. The concentration risk is low with the largest exposure, less than CHF 240 million. As we are under the standard Basel approach, the risk weighting is relatively high at 38%, so this sort of lending essentially only makes sense if it is provided as part of an overall wealth relationship and has certainly proven to be an important tool in our Swiss wealth offering. The median LTV is below 50% and the 95th percentile at 73%. Turning to the capital development on the next slide. CET1 capital came down by 3%, but this was more than balanced by risk-weighted assets falling by 6% and as a result, the CET1 capital ratio improved from 14% to 14.6%. The graph on the left shows the main moving parts from which I'll pick out the OCI pull-to-par benefit. As you know, doubt recall, in 2022, the sharp decline in bond markets that year resulted in the CHF 579 million mark-to-market loss. As you see on the right-hand side, with the bonds pulling to par, this impact started reversing last year with an initial reversal of approximately CHF 190 million. Of the remaining CHF 390 million, we currently estimate on a linear and steady-state basis that around 40% will come back this year and 30% in 2025 and the rest after. Our medium-term risk density estimates are unchanged at 21% to 23%, normally towards the lower end of that range in '24 and towards the higher end of that range from '25 onwards. Finally, a quick review of the improvement in the Tier 1 leverage ratio on Slide 23. As a result of the CET1 capital development and additionally helped by the successful placement of EUR 400 million of new AT1 securities earlier this year. Tier 1 capital increased to CHF 4.8 billion. The leverage exposure fell by 8%, in line with the decline in the size of the balance sheet. And with that, the Tier 1 leverage ratio increased to 4.9%, very comfortably above the regulatory floor of 3%. So moving on to dividends on Slide 24. Clearly, our net profit was significantly impacted by the private debt credit provision. However, as we confirm today, this was an isolated case, and we will now fully focus on the careful execution of the private debt exit. Our solid underlying net profit is, therefore, a good starting point in terms of outlook for this year and the years thereafter, plus we sharpened our cost savings plan, we do not foresee an increase in risk density, and we stick to our 2025 targets. And when you combine all of that, the solid capital build in '23, with the further benefits from the OCI pull-to-par still to come through in the next few years and with the announced reduction in our risk profile, then a CHF 2.60 per share unchanged dividend is fully sustainable, and we stick to our progressive dividend policy. Within the CET1 capital ratio at 14.6%, we could have even launched a small buyback, but obviously, this would have been small, and the Board of Directors decided to reevaluate this over the course of the year. And then we can potentially further add to the CHF 3 billion that was distributed to shareholders over the past 4 years. So finally, on Slide 25, I realize we have given you a lot of information this morning. But I wanted to confirm that our targets remain unchanged and that the entire Julius Bär team will be fully focused on delivering on those targets over the next 2 years. With that, I now hand back the microphone to Romeo.
Romeo Lacher: Thank you very much, Abby, for all these numbers. And before moving to the Q&A, I would like to summarize the key points of today's presentation. Today, we are drawing a line with the full loan loss allowance for the largest private debt exposure, thereby eliminating any further financial risk from this position. The impact of these loan loss allowances has been entirely absorbed by the high underlying profitability and a strong natural capital growth of the group. We are winding down the entire private debt business after having performed an in-depth review of its quality. We are taking accountability for what happened with remuneration cuts, at Executive Board and Board of Directors level, and as reflected in the leadership changes in both bodies. Julius Bär is in strong shape, as demonstrated by our ongoing strong underlying performance and improved net new money flows. This is also shown by our liquid balance sheet and strong capitalization. With this base, we are fully focused on the delivery of the strategy and the achievement of our confirmed medium-term financial targets. Continuity in the delivery of our strategy means also the ongoing affirmation to our pure wealth management model. This describes our unique and exclusive focus on wealthy private clients. Our leading position in wealth management and our strong standing with clients filled me with confidence in the ongoing capital generation of Julius Bär, a confidence that is expressed in the dividends that have remained unchanged. This concludes my remarks, and we would like to invite you now to ask your questions.
Operator: [Operator Instructions]. Our first question comes from Jeremy Sigee from BNP.
Jeremy Sigee: Also thank you for the actions that you're announcing today. I think many of us were quite shocked by the risk exposures that you disclosed in November. So we're appreciative and sort of respectful of the actions you're announcing today to put the bank on a better footing. I think that's appropriate, and I think you've acted decisively. So I think we welcome that. Two questions linking to that, maybe to start. The first is, could you talk about the regulatory investigation into these events into the Signa exposure? And really what areas of concern they're focusing on and what possible impacts that regulatory process could have for the bank. So that's my first question on the regulatory side. And then my second question, somewhat related, is you mentioned in the press release, the interim CEO appointment, but an external search. And I just wondered how you're thinking about that, whether you're also considering internal candidates or whether it's a prerequisite to bring in someone fresh from the outside. Any comments on that would be helpful.
Romeo Lacher: If I may start with the second one, this is a short answer. We confirm that it's an external search. Your question to the regulatory investigation and also the areas of concern. So first of all, obviously, all of the actions which we have communicated today have been discussed with FINMA. We are in close contact with FINMA on an ongoing basis. And therefore, we cannot comment further actions of FINMA.
Operator: The next question comes from Kian Abouhossein from JPMorgan.
Kian Abouhossein: The first question is related to buyback decision that you're considering later in 2024. Could you tell us what the drivers for restarting the buyback would be. Are there certain milestones that you need to reach anything in terms of management decisions that you have to make or regulatory perspective that have to be taken into account? So we just get a bit of an idea how the process would work. And then the second question is coming back to the cost income target that you want to achieve. You mentioned in your remarks that you're relatively far off, and I was wondering if you could run us through the dynamic of how you see yourself getting to this cost/income guidance.
Romeo Lacher: Maybe to the first question and I would hand over the second question to Evie. I think, first of all, as Evie mentioned, despite the fact that our CET1 ratio is 14.6%, obviously, it will be a very small share buyback, what the Board has decided, obviously, that as we are only a few weeks into new year, that we still strongly believe in our ability to capital generate each and every month. And I think this will be the driver also going forward in order to assess potential share buybacks in 2024.
Evangelia Kostakis: Let me maybe address the cost-to-income ratio question. Clearly, we have our work cut out for us. As you saw, we upped the cost savings target run rate to CHF 130 million by 2025. We try to manage, as you know, the cost-to-income ratio as dynamically as we can. And we currently see that there are several paths to get there. Of course, weakening of the Swiss franc would help, but more importantly, the self-help measures count here. And that is the delivery on the RM business cases that we have hired and that we will continue to hire, and, of course, the uptick in recurring revenue margin.
Operator: The next question comes from Máté Nemes from UBS.
Máté Nemes: I have a couple of questions. First of all, on the private debt book wind down. Can you give us a sense of what we should expect in terms of wind down in '24, '25? I appreciate you mentioned by 2026, it would be a lot done, I think, with remaining perhaps CHF 100 million. What is the expected remaining exposure in '24 and '25? And also, if you could help us think about the potential NII linked to this book. Are there any offsets here, how material could this be? And also just from a procedural point of view, is this just a simple one-off of these exposures? Or would you be able perhaps to sell any of these exposures to the liquid's collateral? That's the first question. The second one would be on interest rate sensitivity. I think your U.S. dollar sensitivity now is close to 0 for 100 basis point lower rates. That was roughly minus 2 basis points at the half year. Could you elaborate on the changes here, what has changed since July? And the last question would be just a follow-up on capital distribution decisions. Would you stick to an annual evaluation of the share buybacks or potential share buybacks? Or in this case, would you perhaps consider an interim share buyback decision?
Evangelia Kostakis: That was quite a handful of questions. Let me try and tackle them one by one. So on the private debt wind down, obviously, our approach here is to follow the principles of value maximization and to do this in an orderly way. So we expect that the majority of the private debt portfolio will be wound down in those 2 years. In terms of potential NII impact, what I can tell you is that the remainder of the book is around CHF 800 billion and the client interest margin is 4.5% to 5%. So you can do the math there. I don't want to make any comments on how the individual approach we take, for sure, it's going to be consensual with our clients. In terms of the -- let me take question 3 next. In terms of the capital distribution policy, that remains unchanged. We will evaluate it on an annual basis. But however, you will agree that these are unusual circumstances that we are living through right now, and hence, the board's decision to reconsider this perhaps at some point later in the year, given the fact that we believe our organic capital generation remains strong, not only through profits but also through the OCI pull-to-par benefit that will transpire in our books in '24 and '25. With respect to interest rate sensitivity, I think if I compare it to what we guided to at the end of 2022, we had said that with 100 basis points further increase in the Fed rates with a constant balance sheet, we would see a further 25% shift or 20% shift in confirmed deposits. We were -- we underestimated that. The terming out of deposits was faster on the dollar side. On the euro side, we saw the ECB deliver 200 basis points, and we have said for that -- in a 100 basis point increase, we would see around 20%. We were more or less on mark there. And for the Swiss franc, we had said 100 basis points of SNB would deliver 20 to 25 terming out of deposits. There, we actually saw 75 basis points but the terming out was much faster. From where we are right now, the guidance I can give you is that we believe, as we showed in the relevant slide in the deck, the margin to be around 30 basis points.
Operator: The next question comes from Anke Reingen from RBC.
Anke Reingen: Just one follow-up question about the NII impact from the private debt book. I assume that's considered in your guidance for '24, for the interest-related income. And then on my question, do you have -- on hiring, do you have any targets for '24 and potentially any comment on pipeline? And then I'm somewhat puzzled about on your increase in personnel expenses versus the increase in head count and relationship managers, should we expect there's like a step-up in '24 because the personnel expenses didn't quite see the full impact from the hiring in '23? Or is it mainly driven by the lower bonuses in '23? And would that have any impact on staff ?
Evangelia Kostakis: First of all, let me take a third one. So on PE, the muted increase despite the 5% average increase in FTEs is primarily the result of lower variable compensation. You are correct. In terms of our RM hiring efforts, on a gross basis, we delivered around 190, this year on a net basis, 95%. At the end of 2023, we had signed on an additional 25 RMs that will start in 2024, with active ongoing discussions with another 45. Net-net, we expect around 60 to 65 RMs to be hired in 2024, and that is excluding the 30 RMs that we internally -- will promote as to our assistant associate relationship manager program, as well as whatever divestiture is included from the Kairos numbers. Can you repeat -- can you remind me, please, your question -- guidance on NII, the first question?
Anke Reingen: Yes, the commentary you gave on [indiscernible] slide number about the interest-related margin for '24, you expect it to be in line with the second half. I guess that includes the impact on the rundown of the private debt book. Slide 14. Interest driven gross margin expected stable versus H2.
Evangelia Kostakis: Yes. Indeed, it does. Let me make a couple of comments here. So first of all, yes, it's -- our NII-related gross margin guidance takes into account the orderly wind down of the private debt book. That's point number one. Point number 2 is we haven't modeled or planned for the balance sheet and capital that's freed up now to be redeployed in credit. So there could even be potentially upside there. It's redeployed in the treasury portfolio. And the third point is around capital. As I mentioned in my opening remarks, this book is -- has risk density of 100%, so that creates a further balance sheet and capital growth potential for us.
Operator: The next question comes from Benjamin Goy from Deutsche Bank.
Benjamin Goy: A couple of questions from my side as well. It's very helpful -- the guidance for the first 100 basis points cut. I was just wondering what if we get more cuts more towards the end of the year into '25 onwards, is there a different impact for the second 100 basis points interest rate cuts from central bank? And then maybe a couple of more words on the new production on the net new money because, probably it's a bit unfair because it's end of period versus total flows, but I think your new hires in '23 are roughly 10% only of the average book per revenue manager at the moment. So I was just wondering how you see that developing into '24, so whether there should be a higher contribution for net new money from the new hiring than last year? And then third, if you can give a bit of a color on the activity you see or client activity in January and towards the end of Q4, whether there was a change from the low levels, as you mentioned in H2?
Evangelia Kostakis: [Indiscernible] question. We had guided in the first half results that we expected the vintage 23 RMs that we welcome on our platform, to contribute between CHF 2 billion to CHF 3 billion of net new money for the year. The number was closer to CHF 3 billion. So I think that's a good thing. And as I remarked, they're tracking quite well with respect to their phased-in targets. In 2023, around 56% of the net new money stemmed from RMs on a business case, and the remainder from RMs not in the business case or would have been with us for a long time and around 1 in 5 RMs by the end of 2023 was an RM on a business case. In 2024, we expect given our hiring plans and what we've also done in the past for that proportion to increase to roughly 30%. Does that more or less answer your question, Benjamin, on the net new money?
Benjamin Goy: No, it helps. Yes, that's good color.
Evangelia Kostakis: Can you please remind me of your first question again?
Benjamin Goy: The first question was, what if we see 200 basis points rate cuts? So is the second 100 basis points, similarly, hardly any impact on your margins as the first?
Evangelia Kostakis: I think shifts between products would likely be different for the second 100 basis points cuts. But I mean, further balance sheet effects are quite difficult to predict off the top of my head, maybe they could be comparable to a 2020 COVID-type scenario, but I mean, it's very difficult to tell you that with a lot of certainty right now. And then you also asked a question -- your third question was on activity in January. Indeed, activity, as you saw in the second half, activity-driven income was -- reached multi half year low. We've seen a little bit of a pickup in January, but nothing that would mark a significant trend reversal.
Operator: The next question comes from Nicholas Herman from Citigroup.
Nicholas Herman: Yes. Three from me. One on the exposure, one on net new money and one on NIM. On Signa, I know it's only one particular loan, but just can you explain how from a risk perspective the private debt team had 40% of its exposures in one exposure? Secondly, net new money, just thinking about how -- what is your expectation of net new money, your asset transfers from new hires in 2024? And if there are any risks to prevent kind of a usual level of successful transfer -- asset transfers, what would be those main risks? And then finally, on interest margin. So I think you said that you're expecting 2024 to be around 30 basis points. I guess, given that the second half was 30 basis points, the exit rate would have been a tad bit lower than that. And so with the private debt wind down as well, headwinds from that. What is it that gives you confidence that you should be able to meet that 30 basis points in 2024?
Evangelia Kostakis: Let me start with the third question on the margin. As I mentioned in my remarks, there were a few one-offs in the last couple of months of the year associated primarily with the private debt exposure that impacted the NII margin. So we did 33 basis points for the year, 30 basis points in the second half, we feel relatively comfortable that that's how you should think about interest-driven income for '24. On net new money, so far, we have absolutely no reason to believe that asset transfers from new RMs joining our platform will be hampered in any way. In fact, around the peak of the noise around our private debt exposure in November and December, we had one of our best net new money months of the entire year. And on your first question, on the private debt exposure. This is a business that started in 2019, and as Romeo mentioned in his remarks, the pace of the business really out -- the growth of the business outpaced the growth, the framework in which it should have been conducted in.
Operator: The next question comes from Stefan Stalmann from Autonomous Research.
Stefan Stalmann: I have three, please. So the first one is, could you maybe tell us what the assets under management are roughly that relate to clients who have taken out private debt? The second question regarding your risk-weighted assets. Is it fair to assume that your risk-weighted assets have been reduced 1-for-1 by the CHF 600 million impairment that you have taken, so roughly CHF 600 million reduction of risk-weighted assets as well. And the final question a while ago, I think it was in 2022, you hinted that you have roughly CHF 6 billion of structured finance solutions. Can you confirm that the CHF 1.5 billion private debt actually sits inside this book? And is there any other color that needs to be added in terms of credit risk management on the structured finance solutions book that you highlighted in 2022? And is it still about the same size of CHF 6 billion?
Evangelia Kostakis: So question number one, on the AUM, related to private debt, it's around CHF 1.5 billion. On RWAs, you are correct since we fully allowed for the loan losses, the RWAs are deconsolidated. You see it in the CET1 capital walk, 2.2 percentage points come off from the numerator on an after-tax basis given the CHF 586 million credit loss we have taken. And then there's 40 basis points of relief on the denominator bringing the net impact of the private debt exposure in the way we dealt with it to 180 basis points in terms of capital. With respect to your reference on structured finance and the CHF 6 billion number from a couple of years ago, yes, I can confirm the private debt business was included in that the remainder is structured Lombard, and that is an entirely different type of business in terms of risk return. It's a business that we've been doing since 2009 very successfully with limited losses. The underlying there are not unlisted shares. They are marketable securities with varying degrees of liquidity. The average risk density of that book is maybe 10%, 11%, and the net interest margin is around 1%. So totally different risk return profile, solid credit history.
Operator: The next question comes from Lim Andrew from Societe Generale.
Lim Andrew: So I've got 3. First one, on the write-down on this large exposure in the private debt portfolio, I mean, you've basically written it out to 0. And so the collateral is valued at 0. I was wondering whether that's a true and fair reflection of how you view that value of the collateral or whether you are able to exercise some extreme conservatism there? And if it is the latter, could we expect some write-back on the collateral? And how would that work on an accounting basis? And then my second question is on RM hiring. So obviously, you've been undertaking this program for quite some time now, but it's not really translating into stronger net new money growth, if anything, it seems to be weakening. So I'm just wondering what you think is maybe happening here? Are there other factors impacting the net new money growth rate or other changes in the competitive landscape that we need to consider here? And then my third question is on the Lombard loans, obviously impacted by deleveraging. Can you add a bit more color here as to your thoughts on the outlook on the deleveraging process? Is it highly linked to the absolute level of U.S. interest rates? And do we need to see that coming down before we can start to see clients more confident in taking out Lombard loans?
Evangelia Kostakis: So on the first question, we have currently taken a loan loss allowance to fully cover the exposure in accordance with IFRS 9 rules. This has been also discussed and vetted with our auditors, and it has to do with the uncertainty and the potential prolonged recovery period involving also potential litigation associated with this private debt exposure. That being said, we are vigorously ramping up even further our recovery efforts. And should the facts and circumstances change, we might potentially see a net release, which will transpire in other income. On the second point around RM hiring and why not more net new money. First of all, we continue to be impacted by deleveraging, albeit at half the pace of 2022. So that's point number one. Point number two, most of these RMs we hire are in a 3- to 4-year business case. And the delivery of that business case is not linear. It's more back-ended. So far, the hires that we have done are tracking, as I mentioned in my opening remarks in terms of their milestone interim business cases. The broader environment, of course, is challenging. We have competitors who are pricing longer-term deposits to keep clients in there. But in the long run, this really doesn't matter that much clients come to us for the strength of our platform, our franchise and are here for the long term. Finally, on Lombard loans and deleveraging. I think one factor is the absolute level of interest rates, but the more important factor is the yield curve inversion. And we've now been through roughly 12 to 18 months of inverted yield curves across the globe. So as you can imagine, it doesn't make a lot of sense for clients to leverage on the short end of the curve if there is no term spread to be able to get on the longer end of the curve. Once we see a normalization of the yield curves, we expect releveraging to kick in again.
Operator: Next question comes from Adam Terelak from Mediobanca.
Adam Terelak: I've got one on Asia and activity. Clearly, you talked about a lack of uptick in January and a tough second half of the year. Could you just discuss some of the conversations you've been having with your Asian clients and how much the difficulties in the markets there is contributing to the activity or lack of activity in your trading revenues? Secondly, on funding, you're running with a higher AT1 bucket that you have done historically, can we just confirm that there's no leverage ratio uptick that you're thinking about or whether there is additional AT1 requirement that you're looking to carry through the year or we could think about refinancing of the future calls? Any kind of color there would be quite helpful. And then finally, just a numbers question. You've had an CHF 8 billion kind of outflow or restatement on AUM into AUC. Can you just -- is that a 31st December item, i.e., is it not in the averaging for the second half? That would be very helpful.
Evangelia Kostakis: Let me start with the CHF 8.3 billion other effects. So in the first half of '23, we undertook a review of the policy and guidelines relating to the determination categorization of assets under management, and in particular, the categorization of investment products and the recognition of double counting. And as a result, one class of funds, the private equity funds has been double counted for the first time and reclassified as AUM in the first half of the year. As part of that policy review, we also looked at one category of service offering that has been reclassified to AUC. That was around CHF 10 billion. So that's how you get to the CHF 8.3 billion net number. That was done at the end of the year, so it doesn't really affect any of our KPIs. With respect to Asian activity, it is indeed true that it was rather muted in terms of transactional activity last year compared to prior years. I would also say that deleveraging continued in Asia, although it was more widespread last year, albeit at lower levels than 2022. It is clear that China being in a balance sheet recession, wealth creation not being as fast as it was in years past, has made this a little bit more of a maket share -- grabbing market share gain. That said, our Asian franchise is strong, and we firmly believe in it. On your question with respect to A Tier 1, no, there's been absolutely no change in that. We basically issue A Tier 1s to manage the leverage ratio. Typically, leverage ratio becomes more of a topic when we have an influx of deposits, and our balance sheet lengthens and this has not been the case recently. Our balance sheet has indeed been shrinking.
Operator: The next question comes from Hubert Lam from Bank of America.
Hubert Lam: I've got three of them. Firstly, now that you're exiting private debt, can you talk about your strategy in ultra high net worth going forward? Does exiting private debt hinder your ability to grow in this client base? That's the first question. The second question is on recurring fee margin. I know it went up to 37 bps in the second half. Are you confident now that it can remain here and grow over the next couple of years? And lastly, can you talk a bit more about a succession I know you're looking at CEO externally. Are you looking for somebody to reshape your strategy? Or are you looking for someone's -- big change -- to implement big changes? Or are you looking for someone just to promote continuity, just some clarity around the type of CEO you're looking for.
Evangelia Kostakis: Maybe I'll take the first two questions, and I'll pass the last one on to our Chairman. Our strategy is unchanged. We cater to 2 client segments: ultra-high net worth and high net worth, and this has been the case for a long, long time since the inception of Julius Bär Gruppe in '09 in its current form. The private debt business was a business that was started in 2019, and one of my answers to one of the questions, I also mentioned the AUM associated with that business. So it's not really a large business. We will consider -- we will continue to serve ultra-high net worth clients successfully as we've done in the past. With respect to the recurring fee margin, that ticked up to 37 basis points in the second half of the year, what I can say is that we are fully focused on deploying all the resources in the firm in order to get to that target of 39 to 40 basis points by 2025.
Romeo Lacher: With regard to the succession of the CEO, yes, I can confirm, we are going for an external search. I remind you that obviously that the last 3 CEOs were like internal promoted senior managers, and I think the focus from a Board perspective really lies on a continuity with regard to our long-term strategy. So reconfirming that we will focus on a pure wealth management strategy. So no intention to do any extension or any expansion into other business lines, be it in retail, be it in corporate banking or others.
Operator: The next question comes from Shah Vishal from Morgan Stanley.
Vishal Shah: One question on the flows. And in terms of the net new money flows that you're seeing, can you elaborate a bit more on where those flows are, what kind of products those flows are going into? Are they going into more of fixed income products or more of equity products? So what kind of trends are you seeing there? And then a bit of a long-term question. And in terms of the strategy and the gross margins, because clearly, you had set your 2025 targets, pre the rate hike started, do you now see a need to relook at that strategy? And do you still think a level of gross margin resilience will remain in a higher rate environment?
Evangelia Kostakis: So on flows, I mean these come across the board in our advisory discretionary service models. And you can see sort of the mix amongst different products, be it funds, fixed income, equities, money markets, et cetera, on the appendix of the presentation that gives a good snapshot of the trends over the last few years. And in terms of the gross margins, yes, it is indeed the case that rates went up faster and higher than when we set our plans for the '22 to 2025 -- 2023 to 2025 strategy. However, we try and manage things as dynamically as possible. And as I said before, there's multiple pathways for us to reach those targets.
Romeo Lacher: With that, we are going to end our Q&A session. But if you have further questions, please do not hesitate to reach out to either our media relations or Investor Relations team, and thanks very much for attending. Let me close with a few words. The summary is really that Julius Bär is the leading pure-play wealth manager in the world and 2023 served as a very strong reminder that in our business excellence, which is one of our core values is something we must live up to every day. And our business model is unmatched. Our strategy set, and our underlying financial performance is strong. We are committed to be the best wealth manager for our clients and prospects, a great employer for our staff and obviously also a rewarding investment for our shareholders. Thank you very much again for joining today's call. I wish you all a good day ahead. Thank you.